Operator: Good morning, ladies and gentlemen and welcome to DAVIDsTEA's Fourth Quarter and Full Year Results Webcast for Fiscal 2024. Today's webcast is being recorded and is in listen-only mode. Before we get started, I would like to remind you of the company's safe harbor language. This webcast includes forward-looking statements about expectations for the performance of the business in the coming quarter and year. Each forward-looking statement contained in this webcast is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears under the heading Risk Factors and Uncertainties in the Management's Discussion and Analysis of Financial Condition and Results of Operations, the MD&A, which was filed with Canadian regulatory authorities and is available on www.sedarplus.ca as well as in the Investor Relations section of the company's website at www.davidstea.com. The forward-looking statements in this discussion speak only as of today's date and the company undertakes no obligation to update or revise any of these statements. If any non-IFRS financial measure is used during this webcast, a reconciliation to the most directly comparable IFRS financial measure will be detailed in the MD&A. As a reminder, all dollar amounts referred to are in Canadian dollars, unless otherwise indicated. Now I would like to turn the call over to Sarah Segal, Chief Executive Officer and Chief Brand Officer of DAVIDsTEA.
Sarah Segal: Thank you, operator. Good morning, everyone, and thank you for joining us. Fiscal 2024 was a pivotal turnaround year for DAVIDsTEA. Through disciplined execution and a sharper focus on customer experience, we made real progress across our omnichannel business, towards profitability, stabilizing the business and preparing for the next phase of growth. In a year filled with uncertainty, our brand continued to resonate. DAVIDsTEA remains the leading destination for specialty loose-leaf tea and has provided a reliable, joyful, healthy comfort, which has been especially relevant in today's economic environment. Fiscal 2024 was a significant turnaround in our journey. These results reinforce the strength of our strategy to meet consumers where they are in stores, online and through wholesale with products that align with health-focused trends. Our new stores at Montreal Eaton Center and Royalmount Mall delivered strong momentum. These locations in high-traffic malls are key to building visibility and giving customers the ability to discover teas with our expertise guides. Mall operators are increasingly prioritizing experiential tenants and DAVIDsTEA is a natural fit. Our e-commerce platform remains a vital channel for loyal customers with curated products and seasonal discovery. And on the wholesale side, we expanded our reach through partnerships like our Tea-2-Go program with Couche-Tard, now in over 1,500 stores across Canada. In the U.S., DAVIDsTEA is sold in more than 900 grocery locations. Consumer demand continues to grow in categories like macha, herbal and functional teas, areas where DAVIDsTEA is already a recognized leader. And even with challenges like the Canada Post strike and a shorter fiscal quarter, our brand remained resilient. In fact, without those disruptions, we believe all three channels would have posted year-over-year growth. Looking to fiscal 2025, Canada remains our growth engine. We plan to open a more profitable stores with quick payback economics. These new locations will amplify brand presence and drive omnichannel synergies. Longer term, we're targeting 10% to 12% compound annual growth over the next three years driven by doubling our retail footprint in Canada, expanding wholesale in the U.S. and scaling our digital capabilities. We're also aiming to sustain gross margins in the 48% to 50% range powered by in-house fulfillment, supply chain optimization and continued process and technology innovation. Before I hand it over to Frank, I want to acknowledge the hard work, dedication and talent of our team members across the organization and across the country. I recognize the combined results of our passion for bringing the joy of tea to more people every day. Thank you for a great year and look forward to building on our success in 2025. With that, I'll now hand it over to Frank to walk you through our operational and financial performance in more detail.
Frank Zitella: Thank you, Sarah, and good morning, everyone. Fiscal 2024 was truly transformational for DAVIDsTEA. From the inside out, we improved how we operate and how we serve customers. Our team completed significant transformational initiatives, setting the stage for scalable growth, stronger operations and a better customer experience. We've also strengthened our culture, fostering agility, accountability and focus, so the organization is ready to adapt, execute and grow with confidence. Operationally, we exited our legacy head office lease and relocated our administrative team to a rightsized face integrated with our inventory operations. We streamlined our supply chain by consolidating from three warehouses to two and enhanced our inventory management processes and systems to improve visibility and control. These changes position us to strategically optimize the flow of inventory, enabling better turnover and more responsive replenishment. At the same time, we strengthened our in-house fulfillment capabilities in both B2C and B2B, transitioned to a leaner, more agile IT platform and onboarded two new last mile delivery partners, reducing our dependency on Canada Post and enhancing delivery reliability. These changes reduce cost and complexity and empower our teams with better tools. We also simplified our organizational design and added an important leadership position, a Vice President of Wholesale to help us further accelerate growth in that channel. Let's talk numbers. Revenue reached $61.8 million, up $1.1 million and just shy of 2% compared to last year. Adjusted EBITDA was $3.9 million, a positive swing of $9.3 million year-over-year. Net income in Q4 came in at $2.5 million compared to a loss of $3.9 million a year ago. And we closed the year with $16.2 million in cash, strengthening our financial flexibility. These results speak to the discipline and alignment across our organization. Now turning to Q4 specifically. Revenue was $23.2 million, down 4.6% year-over-year, mostly due to one less selling week and the impact of the Canada Post disruption. Now here's how each channel performed. Brick-and-mortar held steady at $8.6 million, supported by our two Montreal area stores. Comparable store sales rose 6.9% for the full year despite a 4.7% decline in Q4 showing the strength of our physical footprint. E-commerce dipped to 5.6% to $12.4 million, while wholesale declined to $2.3 million, partly due to a shorter selling period and management's decision to exit an unprofitable account. Profitability was a bright spot. Gross profit margin increased to 48.4% in Q4 driven by stronger product margins and a lower shipping and fulfillment cost per unit. Sales, general and administrative expenses fell by nearly 40% or $5.6 million driven by lower impairment charges, IT costs and staffing, partially offset by onetime software costs. As a result, adjusted EBITDA for Q4 rose to $4 million, up from just $500,000 last year. Now looking ahead, we're entering 2025 from a position of strength. Each of our business channels has very solid unit economics. We're seeing positive momentum carry into Q1, and we're confident in our ability to build on this foundation. We remain aware of the macro risks particularly around global trade and potential U.S. tariffs. However, our direct exposure to the U.S. is limited, just 14% of revenue in 2024. So we feel that we're in a solid position to manage through it all. In summary, 2024 was a defining year in the company's transformation. We built the foundation. We've proven our model. And we're focused on delivering sustainable, profitable growth across retail, wholesale and digital channels for the benefit of all shareholders. As we look ahead with momentum and confidence, we also take a moment to reflect on the legacy that brought us here. Earlier this month, we were deeply saddened by the passing of our founder, Herschel Segal. Herschel was a pioneering force in Canadian retail and a true visionary as the founder of Le Château and Co-Founder of DAVIDsTEA. He brought a bold and imaginative spirit to everything that he touched. At DAVIDsTEA, Herschel will help redefine how a new generation connects with tea through innovation, inclusivity and a deep sense of community. His unwavering belief and accessibility and customer experience shape the core of our brand. His entrepreneurial legacy has left an indelible mark not only on this company, but on Canadian business as a whole. On behalf of everyone at DAVIDsTEA, I extend our heartfelt condolences to the Segal family. We are profoundly grateful for Herschel's leadership, his values and his enduring vision for what DAVIDsTEA could become. His spirit will always be part of who we are, and it continues to inspire our work every day. This concludes our review of the fourth quarter and full year results. If you'd like to learn more, explore opportunities with DAVIDsTEA or connect with our leadership team, please reach out to Investor Relations who will be pleased to coordinate access. Thank you again for joining us today.
Q - :